Operator: Good morning, ladies and gentlemen, and welcome to the HDI Q3 2020 Results Conference Call. At this time, all lines have been placed on listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] Also note that the call is recorded Monday, November 9, 2020. And I would like to turn the call over to Mr. Rob Brown. Please go ahead.
Rob Brown: Thank you, Sylvie. Good morning, welcome everyone. Thanks for joining us. I'm going to begin this morning with a brief overview of some of the financial and operating highlights of the third quarter. Faiz Karmally, our CFO will follow with a more detailed Financial Review. Then I'll return to discuss our outlook going forward.  To start I'm pleased to report that on Friday, our board of directors approved and increased our dividend effective with our next distribution. Our quarterly dividend will rise to $0.10 per share. That's up to 17.6% from $0.08.5 previously, and represents our eight dividend increase in eight years. The decision to increase the dividend was supported by the strength of our financial position, and our positive business outlook. It also reflects our strong operating performance, which continued to improve in Q3 as we achieved our third consecutive quarter a record setting results.  Adjusted EBITDA of $26.1 million, adjusted profit of $12.5 million and adjusted profit per share of $0.59 were the best quarterly results in HDI's history. And keep in mind that we set these new records while navigating the COVID-19 pandemic and taking every precaution to ensure the health and safety of our employees and customers. The success of our business strategies, the strength and durability of our business model and the early actions we took to adjust our business to the new operating conditions are all paying off. On the top line, we generated strong third quarter sales growth at 8% year over year. This was driven largely by acquisitions, as well as a positive foreign exchange impact on translation of us sales to Canadian dollars for reporting purposes.  We were also pleased to see organic sales rebound during the quarter, with demand returning to more typical levels, following the pandemic related business disruptions of Q2. Not only were organic sales right in line with what we achieved in Q3 of last year. But we also saw positive indicators for future demand growth. I'll talk more about that in a few minutes when we get to our outlook. Our gross margin percentage of 19% was again at the high end of our range, and directly contributing to this performance were our business strategies.  The reestablishment of our direct import supply lines has played an important role. We have an exceptional lineup of high quality proprietary products; they are complementing our domestic program and delivering strong margins. Our acquisition of Pacific Mutual Door Company, the US based business we acquired last October has further enhanced with our domestic product mix and our margins with a high value offering. Together with continued tight management of the business. Our strategies are contributing to improved profitability, record setting results and our ability to generate strong shareholder returns.  At this point, I'll ask Faiz to review our financial results with you in more detail. Faiz?
Faiz Karmally: Thanks, Robin. Good morning, everyone. I'm going to provide a general overview of our results for the third quarter of 2020. And then I'll provide some comments on our financial position and capital allocation plan. Starting with the third quarter consolidated revenue, we generated sales of $315.8 million that was 8% or $23.4 million higher than a year ago and it breaks down as follows. Acquired businesses added $20.9 million or 7.2% to our sales an additional $2.3 million of the sales gain was driven by the positive foreign exchange impact of a stronger US dollar. And organic sales were in line with what we achieved in the same period last year. In the US, sales increased by US $14.7 million or 7.5% year over year, reflecting the positive impact of acquired businesses. And in Canada, sales were up $1.4 million or 4% year over year, reflecting increased demand.  Turning to gross profit, this grew to $60 million in the third quarter, an increase of 12.6% or $6.7 million, in the same period last year. This improvement reflects the increase in our gross profit margin percentage to 19% from 18.2% last year. Operating expenses for the third quarter were $5.6 million higher at $44.8 million with acquired businesses accounting for most of its increase. The sales performance, together with a higher gross profit margin percentage and well controlled organic expenses resulted in a record quarterly bottom line performance. We generated adjusted EBITDA of $26.1 million, which was up 22.4% year over year, adjusted profit grew 33% year over year to $12.5 million and adjusted profit per share improved to $0.59 from $0.44, an increase of over 34%.  Looking now at our financial position and capital allocation priorities, we ended the third quarter in a very strong financial position with a responsible balance sheet, strong cash generating capabilities and significant liquidity. We have no term debt and maintain revolver facilities with springing covenants secured against high quality working capital. As at the end of the third quarter, our net debt to adjusted EBITDA our rents ratio was just 1.2 times and our net debt to capital ratio was 21%. We also had over $109 million of liquidity available in the form of cash on hand and unused debt capacity.  We remain confident in our ability to support our business strategies and continue creating value for shareholders. On that note our capital allocation priorities going forward will continue to include executing on our acquisition pipeline, supporting organic growth and returning value to shareholders in the form of dividends, while remaining opportunistic as it relates to share repurchases.  Now, I'll turn the call back over to Rob. 
Rob Brown: Thanks, Faiz. And I'll close today with a few comments on our outlook and strategies going forward. Starting with market conditions, indicators for the US residential construction, and repair and remodel markets are the best we've seen in some time. Housing permits and housing starts are up sharply driven by record low mortgage rates, favorable demographic trends, and a lack of housing supply caused by years of reduced building activity. The COVID-19 pandemic has further accelerated housing demand, with more people working from home and many households seeking more living space. At the same time, North Americans are spending more of their time and disposable income on their homes, which is contributing to a robust repair and renovation market. All this sets the stage for follow on demand for our products, which are typically used in the latter stages of construction projects. There's typically a six to nine month lag between when building projects get started, and when they will need the cabinets, doors, moldings, and other architectural building products that we sell.  Accordingly, we expect to see the increased permitting and housing starts translating into organic sales growth in the coming year. Looking at commercial and other markets, this is more of a mixed situation. Keep in mind that for us, commercial and other encompasses everything from recreational vehicle and furniture manufacturers, to institutional builders of hospitals and schools, to commercial builders of retail and hospitality space. It's a broad market and some of these end markets are performing better than others. But the diverse nature of our own participation reduces the impact of dynamics in any one geography or end market.  Our strategy going forward will be to capitalize on the multiyear positive outlook for our industry. And we're well positioned to do so. First, our balance sheet is in excellent shape, with significant cash generating ability, no term debt and significant liquidity available. We're able to act on opportunities to win new market share, advance our product and technology strategies and take advantage of growing demand. We're also well positioned to pursue acquisitions. While our pace of transactions slowed this year as a result of the pandemic. We expect to resume activity going forward. Our acquisitions pipeline today is as strong as it has ever been. Our industry remains highly fragmented. To put this in perspective, consider that well, HDI is the largest distributor in the North American architectural building products market, we estimate our share of the market is just 10%. There's room for consolidation, and we have an excellent pipeline of accretive acquisition targets to consider. Overall, we believe we are well positioned for success. We're the only North American wide distributor in our industry, with a strong balance sheet, proven track record of profitable organic and acquisition based growth. We're optimistic about HDI's future and our ability to continue creating value for shareholders.  So with that, I thank you for your attention. I'll now turn the call back to the operator to provide instructions for the question and answer period. Sylvie.
Operator: [Operator Instructions] And your first question will be from Hamir Patel of CIBC Capital Markets. Please go ahead.
Hamir Patel: Good morning. Robert, if you could give us an update on how pricing trends have been faring in recent months for hardwood lumber and hardwood plywood. And, you know if you see any potential for some pricing commodity inflation there next year?
Rob Brown : Yes. So I mean, as you would know, well, a lot of building products, companies have had favorable results recently on the back of pricing, changes in the products they're selling. In the architectural building product space that hasn't been as prevalent to this point. So we've really had the record results we've achieved come from other factors, margin enhancement, cost control, etcetera, along with some acquisitions. On the pricing side of things, I do see some potential for tightening there over time. You mentioned the hardwood lumber category, about 20% of our sales; we have seen some firming there and pricing recently. In the case of hardwood, plywood, also trending more towards a stronger pricing position than we have seen. And the other one I would mention is the door category continues to have contributed some year over year pricing increases and we anticipate there could be more. So you're quite right. We haven't really seen a lot of that in our results as of yet. But in 2021 don't have perfect vision of it. But we do see that as a possibility to the upside. 
Hamir Patel: Sure that's helpful. And do you see any potential for any mix up list? I'm just thinking with this Egor [ph] plant in North Carolina that's ramping up now. How do you see that impacting your product mix? 
Rob Brown : I wouldn't attribute that to one vendor opening one, probably a very large production facility. But I think you're right in the sense that over time, we are migrating more towards decorative surfaces products, which is in the category that of the vendor you just mentioned. And those products tend to come with some stronger margins, they're more specifiable and they're typically branded products where you're going to have either exclusive or semi exclusive distribution rights in certain markets. So I view it as a little bit of ongoing but longer term trend toward that mix improvement. 
Hamir Patel: Thanks. That's all I have. I'll turn over.
Operator: Thank you. Next question will be from Yuri Lynk of Canaccord. Please go ahead. 
Yuri Lynk: Good morning. On the gross margin, I mean another solid quarter at the upper end of the target range. Is there anything beyond the PMD and the re-established supply chain that's contributing to those margins? I mean, we just talked a bit about next, would that be a factor or anything else you can call out that's driving them? 
Rob Brown : Yes, I mean, we've mentioned the PMD and the imports, because they're quite obvious and quantifiable from our end of things. I think you're point; Hamir's earlier point around mix and more higher margin products coming in over time is relevant. But I emphasize that that's a little bit more over time. I actually just think that, from a selling perspective, in the current pandemic, or COVID, market, you've got some of your selling model is a little bit different. And there's a little bit more of a focus on service delivery capability and maybe less shopping on price. And you might see in a market where there's a lot more face to face selling going on. That one's hard to quantify. But I would say across the board, we've really seen that kind of margin firming in product groups and geographies across the business. 
Yuri Lynk: Okay, that's fair. What's the state of your M&A pipeline and discussions now versus say, last order? And are you comfortable integrating in this environment given the travel restrictions that are in place in some areas? 
Rob Brown : Yes. So one thing that's different this quarter than last is that we have clarity around a business, so someone we might want to buy, who's taken the PPP loan money from the US government, we've got clarity around what the rules are, if they sell their business, and that loan has not yet been forgiven. So we didn't have that previously, and a seller, you know, quite rightfully, was maybe a little cautious around wanting to transact until they knew the rules, those rules have been clarified now. As long as you ask for that money, you can proceed with the transaction so that was an impediment that's been removed. So that's been helpful for us on some specific discussions. In terms of the integration for the most part, these targets, we know them. We've known them for years, and in many cases we've been to or have familiarity with both these people and their physical locations. So you can do a lot of diligence remotely, and then the piece that you can't, that's more on site. There's workarounds for that. So we feel actually quite good about that integration aspect and don't see that as an impediment for moving forward at this point.
Yuri Lynk: Okay. I'll turn it over, guys. Thanks. 
Operator: [Operator Instructions] And your next question will be from Zachary Evershed of National Bank Financial. Please go ahead.
Zachary Evershed: Thank you. Good morning everyone. Congrats on the quarter. I was hoping if you can go into a little bit more detail on the 900,000 in duties in the quarter and how those are non-recurring?
Rob Brown : So the list goes back some a couple of years now actually, to some containers that were entered during the course of the trade case against hardwood, plywood from China into the United States. The timing of that entry, if you interpret it in one way as one kind of a duty application and if you interpret it in another way has a different duty implication. We have a difference of opinion from customs with respect to how that should be treated, however, having been assessed some duties on some very specific containers, or a very specific transaction, we chose to accrue it this quarter. We will still be disputing that amount, but and we may get some of that money back. But that's uncertain. So at this point, we've expensed it. And that's why we've referred to it as non-recurring because it was really get to a specific point in time, a specific set of circumstances that happened in the past. 
Zachary Evershed: That's helpful. Thanks. And then looking at your free cash flow generation profile versus what you have going out the door you have the dividend is an M&A. Do you think that it's reasonable to be able to deploy most or all of your free cash flow in the next one or two years into the M&A pipeline? Are there enough targets in the environment? 
Rob Brown : There are lots of targets, whether they're large enough to deploy all of the capital is one option that remains to be seen. And I think we need to stay a little bit fluid on that, and also recognize it can be lumpy. You know, we've pushed $35 million US out the door for the acquisition of Pacific Mutual Door this time last year. And you know, there's other targets that that look like that, it's just hard to predict exactly, when they'll go. So we've added $85 million of new sales in the last quarter or pardon me last four quarters through our acquisitions program. It was a slower pace. In the first three quarters of this year, for reasons we understand around the pandemic, but as I said, with the rules around PPP, loan forgiveness now understood, we feel like we're going to be back in business on the acquisition front. And we'll just continue to measure the cadence of, as you said, the free cash flow versus what we're able to push out the door. And if we need to make adjustments as we go, we will. But for now, we feel good about it. 
Zachary Evershed: And when you're making those adjustments, do you have a preference between the dividend and the NCIB? 
Rob Brown : Yes, too soon to say. I mean, that's the fluid part. I think you looked at circumstances at the time and make the decisions that will drive the best value. And you kind of need to do that at the time. But again, just emphasize we're not sitting here today chatting with the group with that perspective in mind. We've got a lot of acquisition opportunities in front of us where we think, we're going to be able to deploy some capital. If we can't deploy enough, then we'll look at other alternatives. 
Zachary Evershed: That's helpful. Thanks, congrats. I'll turn it over. 
Operator: [Operator Instructions] Thank you. And at this time Mr. Brown, we have no other questions registered please proceed.
Rob Brown: Okay, thanks, Sylvie, and thanks, everybody, for joining us today. We do appreciate the interest in the questions. Please don't hesitate to contact us or myself if you've got follow up thoughts or questions and have a good day. Thank you.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude the conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines.